Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to the Yum! Brands' First Quarter 2015 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]Thank you. I will now turn the call over to Steve Schmitt, Vice President of Investor Relations & Corporate Strategy, you may begin your conference.
Steve Schmitt: Thanks Lisa. Good morning everyone and thank you for joining us. On our call today are Greg Creed our CEO; and Pat Grismer, our CFO. Following remarks from Greg and Pat, we will take your questions. Before we get started, I would like to remind you that this conference call includes forward-looking statements. Forward-looking statements are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. In addition, please refer to the Investors section of the Yum! Brands’ Web site at yum.com to find disclosures and reconciliations of non-GAAP financial measures that may be used on today's call. We are broadcasting this conference call via our Web site. This call is also being recorded and will be available for playback. Please be advised that if you ask a question, it will be included in both our live conference and in any future use of the recording. Finally, we would like to make you aware of the following upcoming Yum! Investor events. Our China Investor Conference will be held Wednesday, May 13th to May 14th in Shanghai, China. This will be followed by India Investor Conference on Saturday May 16th in New Delhi. Our second quarter earnings will be released on Tuesday, July 14th. With that, I would now like to turn the call over to Mr.Greg Creed.
Greg Creed: Thank you Steve and good morning everyone. You can never be pleased when you report an EPS decline for the quarter, but the story behind the numbers gives me even more confidence that we can and will deliver at least 10% EPS growth in 2015. I would summarize our performance as our KFC and Taco Bell divisions are firing on all cylinders. China is clearly improving and there’s still much work to be done at Pizza Hut. Let’s start with China. Same-store sales declined 12% for the quarter. The best I could tell the whole story. The fact is that the business is clearly improving. Same-store sales and customer metrics continue to move in the right direction. In addition, the team has done an impressive job managing costs and delivered the restaurant margins of nearly 19% in the quarter. It’s the combination of these three elements that gives me confidence will deliver on the first half, second half performance transformation I described at our Analyst Meeting in December. Just last month Sam Su and I assembled a task force to share insights and experience on other parts of our business with the KFC China team. While the local team clearly has an unsurpassed knowledge of the China market, other teams from around the Yum! world have broad expertise and know how we thought could benefit the China team and vice-versa. It was tremendous team work and best practice sharing going both ways and I was truly impressed by the talent of our teams. We also reviewed China’s marketing plans for each brand and are less even more confident in our outlook for the year and the strong second half we expect and here is why. First KFC. We recently launched the first of our two menu revamps planned for the year. This initiative will be taken over the next three months and includes eight new products focused on the lunch and dinner. In addition to traditional KFC offerings this revamp includes product and the consumers interested in healthy alternatives such as herbal tea and seafood. We’re also continuing our premium coffee rollout priced 40% below Starbucks and 20% McCafe, our freshly grind coffee is offered throughout the day. Initial reading show an incremental weekly sales layout of around $300 per store and we’re just getting started. As of quarter end we were in 1,300 stores spanning 10 cities. By year end we expect to have premium coffee in almost 2,500 stores. Our expectation is that coffee will become a solid sales layer to further build growth upon. And we continue innovate on all fronts not just our menu this includes accelerating active enhancements, digital marketing and leveraging our online delivery platform. Clearly there’s a lot to be excited about with the KFC China. At Pizza Hut Casual Dining in China,we are also encouraged by the ongoing improvement in same-store sales. We’re leveraging the assets throughout the day with the rollout of breakfast and continue to expand our late night offering. Pizza Hut is a new development product -- development machine and we’re excited about the recent launch of our sizzling fajitas leveraging our [indiscernible] platform. In addition to the Pizza Hut Casual Dining business, we continue to expand our home service offering where we’re approaching 300 units in China. This business offers a diverse menu with Chinese food comprising nearly half of its products. Any way you look at it the Pizza Hut business has a long runway for growth in China. So to summarize China, we’re making continued progress with sales and customer metrics. We’re pleased with the productivity gains in our restaurants and we have confidence in our marketing plans for balance of the year. Most importantly, we continue to develop new restaurants with confidence laying the foundation for future growth in the world’s fastest growing economy. Outside of China, I’m excited to report that the strong momentum at KFC continued. Same-store sales growth of 5% build upon last quarter’s 4%. The division opened 72 new international restaurants in 36 countries. Nearly 80% of these restaurants were opened in emerging markets. I was particularly pleased with the continued impressive growth from our Russia business where system sales grew nearly 50% in constant currency. Simply put KFC is a franchise led global powerhouse with a significant lead in many emerging markets and tremendous growth ahead. With its always original positioning, I believe KFC is poised to deliver consistently strong results going forward. One of the significant competitive advantages KFC has is its partnership with strong international franchisees. I personally believe that our franchisees are one of our company’s greatest assets and one of the key to success in this business is to work with your franchise partners. On February 27th the KFC U.S. team led by Jason Marker reached an agreement with our franchises to work together as true partners. This agreement gives us clear marketing control for the first time as well as an accelerated path to improve assets and customer experience. Pat will share the financial details with you during his remarks. Moving to our Pizza Hut division where our results have admittedly been soft and worse yet we’re being outperformed by the competition. As you know we recently launched a new pizza platform in the U.S. where over half the division’s profits are generated. This new platform gives our customers unparalleled variety with exciting new toppings, crusts and flavors. Unfortunately we haven’t been as effective as we’ve liked with our marketing and need to balance its appeal to Millennialswith mainstream pizza customers. We intend to do this going forward while working with our franchisees to bring more competitive value to the market. I’d like to take this opportunity to announce an investment we’ve made which will improve our company’s capability and benefit Pizza Hut and all of Yum! Clearly one of the towering strengths of Taco Bell is its superb consumer insights. Over the years a lot of this came from the Collider laban inside driven marketing company. Because better consumer insights is one of our key priorities we decided to bring Collider in house. It’s very first priority will be Pizza Hut in the U.S. In fact we made its former president Jeff Fox the Chief Concept and Brand Officer of the division. We believe Collider’s insights will be extremely valuable to Yum! overall and it’s going to start with Pizza Hut. On the international front, Pizza Hut continues to expand rapidly and we opened 35 new international restaurants in 20 countries during the quarter. Our brand focused structure is clearly paying dividends on the development front and we expect record international expansion this year. We’re also making the needed investments in digital for all of Pizza Hut. We have a firm grasp on what needs to improve and are taking the necessary actions globally to drive better performance. Now turning to Taco Bell which had another great quarter. Same-store sales grew 6% and operating profit jumped 37%. The division opened 47 new restaurants with franchises opening 89% of these units. I’ve never been more confident in Taco Bell’s ability to reach its goal of becoming a $14 billion business with 8,000 restaurants. By all measures Taco Bell continue to go from strength to strength and I’m thrilled to see the team take the brand to a whole new level. Breakfast is doing well owing a 6% mix and the restaurant margins approach 20%. I recently spent time in some test markets and seen what they have in store and I can assure you our innovation pipeline will remain strong. International also continues to build upon the strong momentum for 2014 with 5% same-store sales growth in the quarter and the particularly strong performance in Latin America and Canada. While internationally it’s only a small contributor today we continue to build brand awareness and to improve our economic model as we look to accelerate our international growth plans. So in conclusion we are making great strides across Yum! I could not be more excited about the opportunities ahead of us as we recover in China build upon our existing momentum at KFC and Taco Bell and focus on turning around Pizza Hut. I’m especially encouraged by the bench of talent we have across Yum! And how we are leveraging that to benefit the entire organization. We are in a unique position at Yum! With three distinct brands that we will strengthen and grow into three iconic global brands that people trust and champion. We remain focused on the three keys to driving shareholder value same-store sales growth, new unit development and generating high returns on invested capital. I believe this combination of efforts will enable us to re-establish our track record of consistently delivering double-digit EPS growth in 2015 and the years ahead. And with that, I’ll turn over to my partner Pat.
Pat Grismer: Thank you Greg and good morning everyone. Today I’ll discuss our first quarter results and share perspective on our second quarter and full year outlook. First quarter earnings per share excluding special items decreased 8% which was substantially better than the decline we were originally expecting. I’m pleased with the quality of this upside as it was led by better than expected sales and restaurant margins at KFC China. With overall trend sustaining in China and with the most outstanding momentum we have in our Taco Bell and KFC businesses, we’re confident that we’ll have a strong second half and deliver at least 10% EPS growth this year even with stronger than expected headwinds from foreign exchange. Now I’d like to provide some color on our first quarter results by division. In China operating profit declined 31% prior to foreign currency translation as same-store sales were down 12% in the quarter. Sales were strong during the Chinese New Year period comprising the last two weeks of China’s eight week fiscal quarter and although restaurant margins of 19% were 4.5 percentage points lower than last year due to transaction deleverage this was a significant improvement over the 7 point decline we experienced in the preceding quarter as pricing and label productivity more than offset inflation in food and labor costs. What this means is that restaurant level profit flow through is actually getting stronger thanks to the hard work of our local team to deploy labor more efficiently and to manage a more profitable mix of menu items. More importantly this bolsters our belief that China division restaurant margins will return to the 20% range as sales are recovered and that this recovery has the potential to unlock approximately $600 million of operating profit. Another important driver of our growth in China is new unit development and because we continue to shift our development focus to lower tier cities tighten our site criteria and improve our investment model we’ve been able to maintain high rate of new store openings despite the temporary softness we’ve seen in top-line results. In the first quarter alone we opened 171 new restaurants in China that’s an average of nearly three restaurants per day bearing in mind that China’s first quarter spans in months of January and February. We’re confident that these investments will yield strong returns and continue to expect 700 new restaurants this year. Also with the breadth of our market presence and the scale of our development team we have the ability to capitalize on China’s expanding economy in a way that no one else can in our sector. Moving to our global KFC division which posted a very strong quarter with solid growth in sales, margin and profit. System sales growth was especially strong in emerging markets up 11% before foreign exchange led by Russia, Africa and Thailand. International developed markets also delivered solid system sales growth up 6% before foreign exchange led by Australia, the UK and Continental Europe. And the U.S. delivered its third consecutive quarter of solid same-store sales growth with comps of 7% the best performance by this business in almost 10 years. Division operating margin increased about 2 percentage points in the quarter to 26% driven by franchise led new unit development and stronger restaurant level margins across the board. All of this combined to yield division operating profit growth of 11% excluding the impact of foreign exchange. KFC opened 72 new international restaurants in the quarter and similar to previous years we expect our new unit development to ramp up significantly as the year progresses. With the upward momentum we have in this business we expect KFC to open 700 new international restaurants outside of China and India this year setting a new record for this growing global brand. Same-store sales were flat for our global Pizza Hut division with growth of 2% in emerging markets and 1% in international developed markets and the decline of 1% in the U.S. Operating margin decreased 1.5 percentage points to 30% largely due to strategic investments in international [audio-gap] to support future growth contributing to a 2% decline in operating profit prior to foreign currency translation. And while the sales and overall profit results are disappointing last year’s global brand restructuring has brought 100% leadership focus to the opportunities. We have to improve Pizza Huts overall brand position operations and digital experience globally. We’re already seeing the benefit of this in development, as Pizza Hut open 70 new restaurants in the first quarter including 35 new international restaurants setting us up to have another year of record development with 600 new international restaurants expected in 2015. Importantly about 90% of these restaurants will be open by franchisees demonstrating strong belief in the brands potential. We’re also continuing to invest heavily behind digital and are seeing a promising return on these investments. Currently digital sales in the U.S. account for over 40% of delivery and carry out sales versus about 30% a year ago and we expect this to trend higher over the time. This is important because digital orders provide customers with the superior order experience try higher levels of royalty and generate higher average spend and finally Taco Bell posted in exceptionally strong quarter with same store sales growth of 6% and restaurant margin of nearly 20% which is about 4 points better than last year as pricing and favorable menu mix more than offset inflation during the quarter. As a result operating margin increased about 5% percentage point to nearly 27% lifting operating profit by 37% versus prior year. As Greg said we could not be more pleased with the inside driven brand building efforts to Taco Bell evidence by category leading innovation and disruptive advertising. This obviously includes our new breakfast layer which is sustain sales mix at a very healthy 6% additionally we open 47 new restaurants in the first quarter with nearly 90% open by franchises and our opening 150 net new restaurants this year with international development accelerating in the years to come. Anyway you look at Taco Bell is a category leader and a brand on a move. Now, I’d like to talk about our 2015 outlook. As I mentioned earlier we expect EPS growth of at least 10% this year. Outside of China, we expect KFC and Taco Bell to have very good year’s, while Pizza Hut could remain soft. Therefore the key to double digit growth this year is a strong second half for China. In that regard our monthly sales can be highly variable in a recovery environment. Overall sales trends key consumer metrics and balance to your marketing plans give confidence the China will have a strong second half and as I said before the team has done enough standing job of managing restaurant margin and based on year to date results we continue to expect full year China restaurant margin of at least 16%, as I mentioned previously foreign currency translation has become an even strong headwind for us. Based on current spot rates and projections we now expect the foreign exchange may impact full year EPS by approximately 5 percentage points. This is one additional point of headwind compared to what we signaled on our last call. To be clear this exposure is one of profit translation and does not impact our competitive position as it relates to how we price our products around the world. So if you step back and think about how 2015 is developing, it’s very consistent with our expectation coming into the year which is the negative first half followed by a very strong second half driven by China. Our first quarter performance was better than we anticipated, but still negative. Second quarter EPS will most likely show a steeper decline versus prior year. But let me put this into perspective. First, this is largely due to the fact that we’re expecting a higher year-over-year quarterly tax rate compared to Q1. Second, we will be lapping China’s strongest quarter from 2014 which you may remember included same store sales growth of 15% and operating profit growth of nearly 200% and third while we expecting Taco Bell to deliver another quarter of double digit profit growth. It won’t be 37% as it was in Q1. So for the second quarter we’re estimating EPS will lag prior year by about 20%, but we continue to believe that we have the overall business momentum that set us up for a strong second half to achieve at least 10% EPS growth for the full year. Now before we move to Q&A, I’d like to provide some financial highlights of the agreements we reached with our KFC U.S. franchises which Greg briefly mentioned. Building on the strong business momentum, that’s been built over the last year and in return for brand marketing control which will empower our KFC U.S. leadership team to sustain a turnaround of this business. We will be investing approximately $185 million over the next 3 years. This investment will include new pack of house equipment and incentive to accelerate asset remodels and incremental advertising money. All of which are essential to contemporize the brand and regain traction with consumers. From the timing perspective we expect to invest possibly $100 million this year with the remaining amount split between 2016 and 2017. Due to the unique long-term brand building nature of these investments they will be classified special items with the exception of advertising of about $20 million per year. Although this is a relatively modest investment in the [indiscernible] it is obviously quiet significant to KFC U.S. and we’re confident it will unlock significant value in the years to come. So let me wrap things up, we’re pleased that our first quarter results were stronger than expected due to robust performance of Taco Bell and KFC as well as the ongoing sales and margin recovery in China. We continue to expect at least 10% EPS growth this year with a very strong second half and we look forward to update you further as the year progresses and with that I’ll open up the line to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Diane Geissler from CLSA. Your line is open.
Diane Geissler: I just wanted to ask about your overall expectation for same store sales growth in China. I mean obviously the first quarter was ahead of what you had articulated on your last quarterly call. You’ve given guidance negative first half negative, positive second half. But could you just talk about it in terms of what your expectations on a percentage basis. Now that you outperformed in the first quarter and you have new product launches and et cetera.
Pat Grismer: Certainly Diane You may recall that we had guided in December to full year same store sales growth of 3% to 7% that still an appropriate range we may be coming in closure to the lower end of that range. But importantly we do expect to see sequential improvement in Q2 sales over Q1 and then the strong second half particularly as we as we lap the supplier incident that occurred in July.
Operator: Your next question comes from the line of David Palmer from RBC. Your line is open.
David Palmer: Thanks. Pat, you just said that you expect the same-store sales decline rate to moderate in the second quarter versus the first quarter for China. Did I catch that right?
Pat Grismer: That is correct. We do expect sequential improvement quarter-over-quarter and I would highlight even with the stronger comps that we’re lapping from last year.
David Palmer: The last quarter there, you were talking about the promotion misses that may have happened in China, the Korean boy band promotion. Is there any color you can offer to us about what changes are already happening? I know there was a new menu that was probably in the works for some time, but perhaps a commentary about that menu. But also some things that you're thinking about in terms of a direction of the market that we may not see here for KFC in particular in China. Thanks.
Pat Grismer: Yes sure David. Good question. As we said we had a bad start with the boy band. I was really played with how quickly we reacted and how they very strong Chinese new year promotion. We got back to building an emotional connection with our customers. We got back into original recipe, we got back into buckets of chicken and I think that was a very clear lesson for us. The good news is on the menu revamp, this is going to be 8 new products over about 3 months. What I like about it is the lesson that we’ve learnt this time is that and I think this is for the lessons we’ve talked from the Taco Bell breakfast lunch which is you can put the menu out there. But you actually have to promote specific products. So I’m pleased that we got a very strong menu. But we also have very strong product promotions. Operator Your next question comes from the line of David Tarantino from Robert W. Baird. Your line is open.
David Tarantino: Hi. Good morning. A question about the China trends. I think the release mentioned upward momentum in the consumer scores that you are seeing. I was wondering if you could maybe provide a little bit more context on what you are seeing and where you are from a consumer trust and feedback perception versus where you were heading into the supplier incident last year.
Pat Grismer: Sure. But I think the good news is as you would know we measure a number of attributes clearly value for money, food safety, trustworthiness and favorite brand. The good news is we’re making a proven across all of those metric and I think that what you’ll see is not a linear improvement. But we can definitely see period to period that we are making improvements across the board. So I’m actually really encourage and it’s across the board in a recovery rather specific elements.
David Tarantino: And any context on kind of where you are now versus where you were last June for example, maybe how much of the gap you've closed from the decline you saw post the incident?
Pat Grismer: Yes, sure. I think on things like trustworthiness were pretty much almost back to where we were prior to the instrument things like value the money, we’re doing better. The good news is we have the right trajectory on all of the of all the [indiscernible].
Operator: Your next question comes from the line of Jeff Farmer from Wells Fargo. Your line is open.
Jeff Farmer: Can you provide the transaction price mix and mix components for that minus 14% KFC China comp, and just beyond that what your pricing expectations are for the balance of the year?
Pat Grismer: Yes, in terms of the mix the comp was lead by transaction decline check was marginally positive for the quarter and in terms of pricing. We love to take pricing inline more or less with inflation. We’re targeting about 3 points for the full year.
Operator: Your next question comes from the line of Keith Siegner from UBS. Your line is open.
Keith Siegner: Thanks. Pat, if you could dig in a little bit more into the China company restaurant margins for us, just a little bit more breakdown about where the costs are coming from. Maybe is it all KFC? What about Pizza Hut? What about Little Sheep? And then can you give us an -- or even amongst labor and your other pieces, you did some high-level, but more granular details would be helpful. And then also what's going on from an underlying labor and commodity cost perspective in China? There hasn't been much volatility in labor. Is that still the case, around 10%, and then what does the commodity cost inflation pressure look like? Thanks.
Pat Grismer: So first in terms of how we break down the margin variants year-over-year. We are very pleased with 19% margin in the quarter. It was 4.5% points below where we were in the first quarter last year. We lost about 4 margin points from transaction develarge and another 3 margin points manipulation. But offset that with about 2 point margin benefit from pricing and then the other half point benefit was a combination of productivity initiatives, slightly offset by the impact of new unit. So that kind of breaks down the margin drivers, in terms of what we are seeing by the way of inflation. The good news is on the commodity front things are looking a little bit better than we’ve originally guided. I think in New York we guided around 2% to 3% of commodity inflation. Look like closer to 2% maybe so slightly better there, the labor front the situation hasn’t changed call it low double digit around 10% that we saw in the first quarter and that’s more or less we expect for the full year.
Operator: Your next question comes from the line of John Glass from Morgan Stanley. Your line is open.
John Glass: Thanks. Maybe just a few sort of detailed questions, but Pat, the G&A this quarter ran above I think what your annualized rate was. Maybe there was some FX in that. But how do you see G&A playing out this year? Is there more investment spending perhaps required than you thought, or is this just more about timing this quarter?
Pat Grismer: It’s more about timing because we’re what you are seeing in early part of the year is the full effect of the strategic investments that we made in our Pizza division importantly and international to built capability in development and digital which is where we see biggest opportunity to strengthen our competitive position. So as we lap those investments that was made up with the course of 2014, you’ll see less of an increase year-over-year in G&A, no reason to change our guidance for full year on G&A.
John Glass: Okay. And then just two other quick ones. Forgive me if you said this. What was the labor inflation in China this quarter? And also since tax does play a big role in where you shake out in the second quarter, what is the rate you are implying in the tax rate in the second quarter?
Pat Grismer: Labor inflation in China was about 10%, in terms of tax I mentioned in my earlier remarks that is the key driver of the expected difference in Q2 EPS performance versus Q1, tax worked to our benefit in Q1, it’s going to go against us in Q2 and that change among drives about 7 point swing in EPS growth versus prior year.
Operator: Your next question comes from the line of Joseph Buckley from Bank of America. Your line is open.
Joseph Buckley: Thank you. A question on China also I guess. So I think, Pat, you said the full-year guidance, the plus 3% to plus 7%, is intact, but you're thinking more the lower end. And I guess that seems curious to me with the first quarter coming in better than expected. So could you comment on that, and maybe at the same time address Pizza Hut? I guess I was a little surprised Pizza Hut was down as much as it was in the quarter. Just kind of the dynamics that are going on in that business would be helpful.
Greg Creed: Yes certainly. Well you may recall from our financial modeling session in December that we said we needed at least 3% same-store sales growth in China to achieve our China profit growth objectives consistent with delivering 10% EPS growth or better for all of Yum! So based on current trends we still fall within that range of 3% to 7%. We still have a big chunk of the year ahead of us, so it’s always tough to call these things, but what I’m suggesting is that it may be closer to lower end of the range than the higher end of the range but importantly we have a lot of confidence in the productivity initiatives the team delivered in Q1 and we believe that those will sustain through the balance of the year. So any relative softness in sales will be made up with better performance from a profit flow through perspective. And then quickly on Pizza Hut, as we said before Pizza Hut is recovering more strongly than KFC and that continues to be the case because KFC faced two supplier incidents in two years this is the first incident for Pizza Hut, so we are seeing the consumer metrics and the sales recover faster than at KFC. From a margin perspective, we posted 19% on the quarter. Pizza was actually to 20%.
Joseph Buckley: If I just go back to the first question, is there a reason that you were thinking the comp numbers would be at the low end given first quarter better than expectations in China?
Pat Grismer: Just as we read on the sales as we extrapolate them to the end of the year. Again it’s always tough to estimate sales particularly at this point in the year particularly in a recovery environment, but if I have to make a call today, I would say that we are closer to that lower end however still gives us the momentum necessary to deliver the strong second half which is important to our ability to achieve at least 10% in EPS and still achieve the sequential improvement in quarter-on-quarter same-store sales.
Operator: Your next question comes from the line of Brian Bittner from Oppenheimer. Your line is open.
Brian Bittner: On the Taco Bell business the 6% comp you achieved there, was that relatively balanced I guess meaning did you see positive comps outside of your breakfast day part and on top of that what is breakfast mixing as percent of the business now?
Pat Grismer: Sure so the answer is yes we saw good bounce in the Taco Bell performance across all day part, so when you grow 6% same-store sales right even though the breakfast was still around 6%. It obviously means we’re getting growth in breakfast, so we saw good consistent growth across all day parts. And I think that’s because we’ve got innovation which is clearly relevant to more than one day part. We’ve got very disruptive advertising and I think all of that is working along with the improved customer service and continued great value. I think that’s the reason why we’re delivering such a consistent performance.
Brian Bittner: In the mix?
Pat Grismer: The mix is 6% in the breakfast.
Brian Bittner: And just as quick [audio-gap] on Taco Bell I mean 37% operating profit growth is obviously really good and looks like there was just disciplined up and down in the P&L, but one thing that jumped out of me was the food margins and the 200 basis points you got there. What was going on there? Was that just breakfast being a better food margin business or did you see some commodity tailwinds?
Pat Grismer: Brian absolutely we have seen commodity tailwinds and that remains a source of upside for us for the full year. Again taking you back to where we were at in New York when we provided guidance around commodities, at the time we were expecting about 2% to 3% at Taco Bell. It’s now looking like it’s going to be flat, closer to flat and that’s because what we’re still expecting inflation in beef it’s not going to be as extreme as we have thought. We’re actually seeing higher deflation for cheese than we had originally expected and we’re also seeing now deflation in chicken, so all of the things are working in our favor. At the same time, we got the benefit of pricing actions we took last year, so not a lot by way of new pricing actions but importantly roll over from last year when commodity cost had spiked. What makes me feel really good is that even with that significant pricing benefit versus the commodity inflation that we see today are value scores are actually getting stronger and I think it’s because of the way the team has been very thoughtful and very intelligent around the way they’ve taken pricing. They’ve taken pricing when we’ve introduced new innovation. They’ve taken pricing when we’ve offered new value on the menu and I think it’s because of this discipline that they’ve been able to strengthen their value scores and we feel very good about where things are at with margins today at Taco Bell.
Operator: Your next question comes from the line of Jeffrey Bernstein from Barclays. Your line is open.
Jeffrey Bernstein: Two questions, one just on the China maybe the broader industry perhaps, but just wondering the pace of the recovery obviously went to the second half that you seem pleased with that pace. I’m just wondering whether you think that’s consistent across the broader industry or maybe in your research any reason why perhaps your recovery as you’ve noted in the past is maybe going slower than expected or maybe slower trajectory relative to peers I’m just wondering what has kind of been called out in terms of why KFC might be seeing that slower than previously desired trajectory?
Pat Grismer: Jeff I think the answer is we’ve said early the KFCs has not had one but two sequential incidents which we’ve never experienced before I think that’s I think one of the key underlying reasons why you may be seeing the KFC recovery though the good news is it is sequentially getting better maybe while the absolute recovery is taking a little longer. I think that really remains the key reason and that’s the key thing we’re seeing in all the work that we’re doing in China.
Jeffrey Bernstein: And if the AUVs I mean the goal – it sounds like the goal was obviously getting back to full strength, but for whatever reason they didn’t get back to full strength is perhaps the recovery took longer and never got to full levels. Do you think it’s reasonably to still get back to that kind of 20% plus restaurant margin or [indiscernible] the different way? What happened in ’15 whether its comps, margins, returns what would lead you to maybe slow the store growth in ’16 and beyond? Will it be if the comp thing get back to full strength or could you still grow at the 700 plus pace set out if you’re still hitting that 20% margin?
Pat Grismer: Jeffrey there’s no doubt in our mind that comps that same-store sales will return that is averaging along, it will return to where they will or where they were in 2012. It’s not a question of if, it’s just a question of when. That’s not going to happen in 2015 and we’ve never said that, but we remain very confident in our ability to continue to grow our sales layers and achieve the comps the AUVs that we had in 2012. With that then will come the improvement in margins and just as we’ve seen margins hold up really well even under sales pressure we know that when the sales come back there’s enormous operating leverage in our business. And so I remain confident that we will get back 20%. It’s tough to say exactly when that’s going to happen, but as from where I sit that remains a reasonable expectation for that business in the mid-term.
Greg Creed: Jeff I just think we’re a brand building company and every day each one of our brands in 126 countries we operate is really focused on four things. Making our brands more relevant, making them more engaged, making them all connected and demonstrating that we care. And I think if we follow that philosophy on all of our brands in every country in which we operate, we will continue to see strong same-store sales growth across the business.
Pat Grismer: And Jeffrey what I would also point out is that when we look and we share these numbers before and we look at the top 10% of our KFC restaurants in China, we see average unit volumes that are well above 2 million close to $2.5 million or more. That compares very favorably to what McDonald’s has achieved by way of global average unit volumes so versus where we stand today there’s nothing but upside and we’re confident we’re not only going to get back to where AUVs were in 2012, we’re going to shoot beyond that. Again it’s tough to say exactly when that’s going to happen, but we do have strong belief in our ability to rebuild sales and to bring with that the restaurant level margin importantly reinforced by all the great work the team has done to drive significant productivity improvement during the period of sale softness.
Operator: Your next question comes from the line of Karen Holthouse from Goldman Sachs. Your line is open.
Karen Holthouse: Actually a question on Pizza Hut, is the comment about working on sort of better value construct for the brand. How should we think about the reasoning behind that, has there been an issue with value scores deteriorating, changes in competitive intensity or maybe the thought process is using more aggressive value as a way to sort of induce trial of the new flavor of new menu?
Pat Grismer: I think the answer is that we – an analysis about performance is just we just went value competitive in the marketplace whether that was entry price point whether that was single pizzas whether it was pays, so we clearly have a lot of work to do. What I’m excited about is that the team with franchisees we’ve had a value summit in the last couple of weeks. We’ve shared all the information and all of our knowledge around that value positioning and what we have to do and I think what you’ll see is us come out aligned as one system in order to make a stronger value statement in the marketplace.
Karen Holthouse: And with sort of that just as a quick follow up is there a particular price point you’re focused on and is it going for I think that more as an entry level price point or some sort of bundled value that you need to go after?
Pat Grismer: I think the answer is all of the above. We have to have good entry level price points. We have to have good single pizzas. We have to have good pan pizzas and we have to have good abundant value and I think we can and will do much better across all of those elements of the price value equation.
Operator: Your next question comes from the line of Andrew Charles from Cowen and Company. Your line is open.
Andrew Charles: Pat you talked about the China pricing schedule for the year, it sounds like you had some price benefit in 1Q and you’re now aiming for 3% price at the high end where you got to be analyst a put guidance for the low end of 3% to 7% China same-store sales. Is the situation still fluid enough that you’ll consider holding back on pricing in favor of traffic?
Pat Grismer: Well we’re always very thoughtful around pricing in much the same way I just want Taco Bell thinking very carefully around when we’re introducing innovation and making sure that we protect value on the menu as we have done in our China business, for KFC in China we had about 3% of total pricing in the quarter, 2% of that was roll over from last year. Now we took an incremental of 2% pricing action in the middle of January which yielded about 1% of pricing benefit on the quarter. We continue to maintain the value and of course we see no reason to take significant incremental pricing actions beyond this probably the situation based on helping the trending in the business in very sensitive the value of course and the importance of value to regaining traction with consumers. On the Pizza Hut side we took 2 and 2.5% of pricing in late 2014, so we have the roll over effective that of planning out in Q1. There again just being very sensitive to what things are ever brand, looking at future pricing actions potentially time to the introduction of new product innovation and maintaining those strong value and goes on the menu.
Andrew Charles: That’s helpful and then Greg the spring menu revamp. How would you classify the price points the more value and should be value oriented, the premium price, the mix, just any thoughts there?
Greg Creed: When you go any products across the menu it’s a combination as we said earlier. So there is product for lunch and dinner. It’s a cross variant price points and what I like is that I think the presentation of these products and the position of these product is really good having a chance to do it. So it’s not one particular focus.
Operator: Your next question comes from the line of Jason West from Deutsche Bank. Your line is open.
Jason West: Thanks. I have just two questions. One on the outlook for the year, you guys still assuming flat KFC profits in China in the guidance and then secondly with the cost savings that you realized in the first quarter which I think surprised some of us. Is that a new round of productivity initiatives that have now kicked in or is that sort of a continuation of the productivity that you guys more [comp/count] for a while and if you talk about how that extends into the rest of the year. Thanks.
Pat Grismer: I’ll address the second question first and then come back to the outlook for the full year. On the margin front one of the things I love about our China team is that they have a mindset of continuous improvement. So as you know they made extraordinary progress on restaurant level productivity in the middle of 2013 and the early part of 2014, all of those of initiatives and the associated margin benefit have sustained into 2015. But they are coming over the top of that with some new productivity initiatives which proves instrumental to their ability to deliver the better than expected margin performance in the first quarter. In the early three elements to this, the first is with respect to what we call pace setter analysis which is essentially benchmarking the best team labor performance within the specific sales band each one of our brands they moved out from an annual discipline to a quarterly discipline and they set targets accordingly after having conducted market test to ensure that there was no impact to the customer experience. So effectively through that more [regular/vigorous] approach to labor planning. They were able to tighten the labor schedules in a way that ensure that we continue to meet customer expectations. But they do it a lot more efficiently. Second piece was around the mix of student and part time team members. So they increase the mix and that delivered a benefit to labor in the quarter and that sustained balance of the year and then the third which is taking [hard/how] to look at management staffing levels in the context that our sales were out and adjusting plans and managing to that. So again three elements to the work they did this quarter which we sustaining through the balance for the year.
Greg Creed: I just wanted to reinforce one point to Pat made. This productivity has not been at the expense of the customer experience. I think it’s very important that we do continually monitor the customer experience as we go through this process and I’m really happy with. The customer experience is actually growing slightly bigger, effective making productivity improvements and so I think overall it’s well for the future.
Pat Grismer: And maybe the last one I would make on it is that the combined effect of these new productivity initiatives contributed about 1 to 2 points of margin improvement versus prior year and again we see that sustaining do to the end of the year. Now the first question you asked Jason was about our outlook for China profit and the extent to which we’re assuming some profit improvement at KFC. We’re assuming that KFC will improve profits this year that is working in our full year outlook for EPS growth and when you added all up in conjunction with in order to expecting the other divisions and even with this stronger than expected headwind from foreign exchange we get to at least 10% EPS growth.
Operator: Your next question comes from the line of Sara Senatore from Bernstein. Your line is open.
Sara Senatore: Thank you. I have a question and then a follow up on your commentary if I may. The question is about unit growth in China and I think that’s always been we keep Yen always in terms of value accretion. It looks like the store closure has certainly come down. I was just wondering if when you think about that 700 growth and looking at kind of what the net through the net would look like. Is it safe to say that you kind of pass the point where you’ve closed all of that kind of low performing stores and I guess can you give us a sense of what their returns on the new stores are looking like now and what the mix is between tier I and II versus lower tier cities?
Pat Grismer: Certainly Sara, so first starting with closures, we had a higher to normal level of closures last year for China division beat by [indiscernible]. So it’s we were consolidating these states, there was significant impact to the unit count in China. Most of that is now behind us and so when you look at our core brands actually closures in 2014 were lower than they were in 2013 and we expect 2015 to be below 2014, there will always be closures in a restaurant business the size of ours. But we do see that moderating. And then in terms of the returns we’re very pleased with the returns we’re seeing on our new unit investments as you know we continued to shift the mix of development down to the lower tier cities for KFC and then more probably the Pizza Hut given the relative strength of the Pizza the economic model, so here are couples of start they could help with that, so for KFC in the first quarter 67% of our new units openings were in tier 3 and below cities and that compared to 53% for the entire year of 2012. So, quite a significant shift there and then for Pizza casual dining business for the first quarter that brand accounted for 35% of total division unit openings and that compares to 24% for 2012. So again you can see the shifts that are happening in our portfolio and all of that is formed by our discipline around where we direct our capital. We did redeploy capital to the higher return opportunities that’s been good discipline in China over the years and we’re continuing to move in that direction and so that gives us confidence in the continued investment or making in that business and I would say is related to 700 that we’re expecting this year. There is every reason to believe over the long run as our business grows to that number will hedge higher, back in 2012 we opened nearly 900 units. So we certainly have the capacity and we’ve unmatched capability to do it, for us it’s all about being great discipline not getting too far ahead of ourselves and making sure that our capital is deployed to the highest return opportunities.
Sara Senatore: Great, thank you and just a follow up I had for Greg actually was idea of these best practices during he talked about in China. I think one in the, I’m sure concerns you’ve heard is the idea that with the portfolio brand maybe the all that many benefits to have altogether they should be run separately so, can you maybe give an example or talk about what kinds of that best practices can be shared across different brands that where you couldn’t get the benefit of just looking internally within one brand and at the highest performance within that brand?
Greg Creed: Sure, Sara. I’ll give you the specific example of the China there are six people that we took, 3 of them worked with KFC outside of China but 3 of them work to Taco bell and I think the Taco bell team included people who are very strong in advertising, product positioning, digital and social mobile and that’s where we think Taco bell probably excels. So I think our ability to take people not just from within the brand or within the geography but across brand and across geography is something that is particularly unique beyond.
Operator: Your next question comes from the line of John Ivankoe from JPMorgan. Your line is open.
John Ivankoe: I wanted to follow up on the labor I guess what we talk about this labor efficiency in China. There has been basically 3 years of reduced not just labor dollars per store but labor hours per store more specifically and can you help us understand what productivity means and is it, kind of tightening up the number of hours the given employee works I mean is it kitchen labor, is it front of house labor, is it in the number of managers that you use, maybe it’s even the number of managers that you have in training. Just you kind of put some structure process in terms of exactly what efficiency means and why it is the right thing for the brand in a recovery and I have a follow up as well.
Pat Grismer: John, you clearly understand our business very well because everything you mentioned for once part, what the team has done to drive year on year improvement and labor productivity. And as I said before one of the thing we love about the team is that they have a continuous improvement mindset, we continually help them as the best operating team we have anywhere in the world and they continue to take it to the next level. So, they are managing to tighter schedule but that schedule is fully uniformed by us I mentioned more frequent updates to their pay setter analysis and taking it to a full market testing. So we have a confidence as Greg mentioned before that we are not doing this to an extent that is going to adversely impact the customer experience. But at the same time, the team continues to reengineer the back-half. So they have a team of very skilled engineers who look at equipment lab, who look at how labor is deployed behind the front counter to better accommodate – the lines that develop at a restaurant at lunch and dinner time more cost effectively. So there is a lot of intelligence and thought and rigger that is applied to how we do this but it is that continues improvement mindset that is really at the hard at all.
John Ivankoe: Thank you for that. And secondly the performance of the brands tier 1 and 2 versus tiers 3 through 6 and I was hoping that you could elaborate on some of the increased competition that you have seen across the markets whether that’s continuing in this current economy where you might be encouraging people to open less stores and in others words lessening some of the competitive impact.
Pat Grismer: The trend continued to show competition intensifying in the higher tier cities, so that’s no change from before but interestingly and this is consistent with what we have said in our Q4 earnings call. We are seeing better recovery, we are seeing actually stronger sales to our sales performance of those tier 1 cities, relative to the lower tier cities, so that trends has persisted.
John Ivankoe: And still the development tilt towards 3 to 6 what does that tell you in terms of, does that make sense to shift development or is tier 3 and tier 6 that where you want to be putting a new footprint?
Pat Grismer: It absolutely make sense to continue to pivot towards the lower tier cities for two reasons, first of all there is more opportunity because those markets are less penetrated and we have the ability unlike competitors to move quickly and gain at that first mover advantage and then secondly there is this superior cost structure, where labor and rent cost are lower in the lower tier cities. Therefore the sales hurdles are lower and therefore we get higher returns on investment because remember we are getting the same AUVs – average unit volumes in lower tier cities as we are in the higher tier cities so we get the same sales volume but with the higher margin and with the similar investment. So the returns are superior and there are more opportunities out there because those cities are more rapidly developing and they are less heavily penetrated.
Greg Creed: Just to further built on that, they know how sharing. I think the labor productivity is an another example where we share labor productivity around the world. So as you probably know we have some pretty high labor markets, Australia and UK and we are able to share those earnings on like transactions per labor hour and obviously share that best practice not just around but all around the world and again not just with in KFC but all the other brands. So I think the labor productivity is another example of the paradigm.
Operator: We have question from R.J. Hottovy from Morningstar. Your line is open.
R.J. Hottovy: Thanks. Just had a quick question about the KFC segment, I really have two questions, first is just kind of, give us some examples of what is driving that that strong 7% sensor sales growth and expectations going forward and then secondly just a little bit more color on the new franchise agreement that you have in place just in terms of the 100 million of the 185 million in terms of the timing of that investment and more importantly when you start of the some of the benefits from the marketing and the re-imaging capacity that you are going to bake into that investment program?
Greg Creed: I think the success has been, [indiscernible] and what we have done we stayed on as far other box and traditionally at KFC we tend to have, our sandwich promotions that we got in the markets and the challenge is as you put, it doesn’t matter how many people—out of the eat out of the $20 bundle it’s still $20 on the television and I think what the team has learned and its really stay rigorously on is the fact on the box. So now we have about four different versions of it, so there is obviously variety that we can offer the customer and also enables to come back with different insights and new communications but I think the consistency of staying around is really powerful entry price point has really been one of the key of success a KFC in the U.S.
Pat Grismer: And then on the agreement we have reached with our U.S. franchises in the financials around that, $185 million in total, most of that being recorded as a special items, the advertising piece which amounts about $20 million per year about $10 million or so is going to fall into 2015 that will flow through regular operating income and that is reflected in our guidance still of at least 10% EPS growth this year. In terms of the benefits, this is a multi-year program, so we expected that the benefits will accrue over the long term as well and we expect to see benefits from each element of that program. So we do expect sales to be better with the incremental advertising. We do expect to see sales lift from the incentive that we are offering to accelerate the pace of remodels such that 70% of our KFC which stable will be a current image by 2017 and that we are expecting to see sales left from the investments we are making for franchises in new equipment which puts them in a position not only to offer the more contemporary menu but to do so in a fashion that provides a better customer experience with better reliability and there will a sales benefit associated with that and we expect that will built over the time and that’s the underlying business case here. The size of the investment for a business of KFC U.S. size but we do expect to see the value that business improve significantly on the back of these investments and with the outstanding brands strategies that Jason Market and his team have put in place.
Greg Creed: So, I thank everybody for being on the call. I know today is a very busy day with a lot of restaurants releasing earnings. So that you took the time to be with us, we really appreciate. I just want to reiterate that we believe that we are well set to deliver at least 10% EPS growth not only in 2015 but beyond. Thanks for being with us today. Much appreciated.
Operator: This concludes today's conference call. You may now disconnect.